Operator: Good day and welcome to the NCR Atleos Fourth Quarter and Full Year Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Brendan Metrano, Vice President of Investor Relations. Please go ahead.
Brendan Metrano: Good morning and thank you for joining the NCR Atleos 2024 full year and fourth quarter earnings call. Joining me on the call today are Tim Oliver, CEO; Andy Wamser, Chief Financial Officer; Stuart Mackinnon, Chief Operating Officer and Paul Campbell, CFO. Tim will start this morning with an overview of the company’s performance this year and an update on strategic progress and priorities for 2025. Andy will follow with a review of financial results and our 2025 financial outlook. Then we'll move to Q&A. Before we get started, let me remind you that our presentation and discussions will include forward-looking statements, which are often expressed by words such as may, will, include, expect, and words of similar meaning. These statements reflect our current expectations and beliefs and are subject to risks and uncertainties that could cause actual results to differ materially from those expectations. These risks and uncertainties are described in today's materials and our periodic filings with the SEC, including our annual report. Also, in our review of results today, we will refer to certain non-GAAP financial measures, which the company uses to measure its performance. These non-GAAP measures are described and reconciled to their GAAP counterparts in the presentation materials and on the Investor Relations website. A replay of this call will be available later today on our website, investor.ncratleos.com. With that, I will turn the call over to Tim.
Tim Oliver: Thank you, Brendan, and thank you to everyone for joining this call this morning. For those following along in the presentation from the Investor Relations website, I'll start on Slide 5. I will start this morning by reminding you of the compelling Atleos story, reviewing our operational performance and strategic progress in 2024, and then previewing our 2025 outlook. I'll then hand it off to Andy Wamser to review the financial results in the 2025 financial outlook. Andy joined Atleos as CFO in late January and brings the experience that includes CFO roles at public companies and investment banking. I'm very pleased to have Andy on the team. I'd also like to thank Paul Campbell who recently stepped down from the CFO role for his 37 years with NCR and Atleos. He has continued to work with the company to facilitate the closing and the Sarbanes-Oxley process for 2024 and importantly to ensure a smooth transition for the finance organization. I am grateful to Paul for both his significant contributions to our company over the almost four decades and more personally for his support of me, both in my old role and in my new role as Atleo's CEO. Reflecting on our first full year as an independent company and our best quarter yet, it is impossible to overstate what Atleos's team has accomplished. One year in, our employees are engaged and energized, our customers recognize the return to best-in-class service levels and appreciate our reinvigorated innovation efforts. Our strategic progress is pushing our revenue per ATM higher and our financial performance has been solid and steady. In nearly every regard, 2024 was an outstanding year for Atleos and I am proud to report the company's impressive fourth quarter and full year results today. Despite being a standalone publicly traded ATM centric company for about 5 quarters, equity investors share of mind and daily trading volumes in the Atleos are still too low. Presuming that many investors are new to this story, I think it is valuable on these calls to provide a quick description of the company and the compelling opportunity we see for all of our constituencies, but with particular focus on investors. While our employees, customers, partners, and communities have all recognized the compelling outlook for Atleos, the company remains significantly undervalued relative to our peer companies, and our strong performance has not translated into compensatory gains in enterprise value. Since separating from legacy NCR through a spin transaction, Atleos is now a pure play independent company with a leadership position in self-service banking, a clear strategy and we've begun building a track record of strong financial performance and predictable free cash flow generation. Atleos has an installed and service fleet of approximately 600,000 ATMs around the world, including approximately 80,000 that we own and operate in our own networks. In a global environment that continues to demonstrate steady cash-based consumer transactions and a stable installed base of ATM hardware, our growth will come from generating more revenue for Atleos for every machine that we service and support, whether that's from providing higher quality, more efficient, and more comprehensive services to our financial institution clients or by driving more transaction volume across our own network machines located in blue chip retail locations. Both of these strategies are fueled by our customers' desire to improve financial access for their customers while outsourcing more of their cash ecosystem. We serve as both growth vectors from a common infrastructure that is unmatched in scale, is leverageable, and is world class. As global banks continue to seek to improve their customers' experience in the most cost-effective way, the importance of self-service devices is increasing. As a result, our customers are reinvesting back into their retail banking footprint and embracing shared financial utilities. For them, this strategy will result in lower costs, higher quality, better consumer experience, broader reach and higher foot traffic. For Atleos, it will drive higher revenue growth, increased profitability from both scale and a richer revenue mix and predictable and growing free cash flow. Turning to Slide 6 for a review of 2024. 2024 was a year of unmitigated success for Atleos. After completing a complex corporate separation in October of 2023 that would cry at us to be myopically focused in the completion of that transaction, we quickly redirected our focus to establishing a new independent company with a clear growth strategy and engaged global employee base of nearly 20,000 people and satisfied customers that allow us to be trusted strategic partners. For the full year 2024, we generated over $4.3 billion in revenue, $3.22 of adjusted EPS and over $242 million of adjusted free cash flow, all in line or above the financial targets we set out for the year. Margin expanded year-over-year and increased sequentially in each quarter, benefiting from an accretive revenue shift mix towards services coupled with cost productivity initiatives that accelerated across the year. As we begin 2025, our strategy is being validated. Demand for more capable ATMs with enhancements like cash recycling or tap capability or biometric authentication is accelerating. Banks and retailers are increasingly acknowledging the commercial logic of outsourcing noncore ATM services to capable operators like Atleos. And the demand for shared utilities that provide immediate and low-cost coverage away from traditional bank branches is growing globally. Moving to slide 7 in the self-service banking business. This is primarily a service business comprised of globally installed base of over 500,000 ATMs that we sell to our financial institutions with a software subscription and then service and support over time. Traditionally, those services were centered on repairs and light maintenance, but increasingly banks are opting to outsource all of the other services necessary to run the ATM to others. Full year 2024 financial results were in line or slightly above expectations. Revenue grew at a healthy mid-single digit pace. Services and software were the primary growth drivers and resulted in 9% growth in recurring revenue. ATM as a service contributed one full point of top line growth for the year. From a profitability perspective, direct and indirect cost savings initiatives generated over $100 million in gross savings, which eliminated split related dissynergies and more than offset inflation and unanticipated expenses like the Red Sea shipping disruption. This productivity coupled with a more advantageous revenue mix resulted in approximately 400 basis points of margin expansion from the first quarter through to the fourth. Over the past year, we committed considerable resources to product and service quality and go-to-market execution to support our strategy. Service levels began to improve quickly, and by the end of 2024, we're at multiyear highs. We were pleased to see our commitment to service acknowledged externally. In February of 2025, Atleos was awarded the ATMIA Outstanding Service Award, recognizing our company for excellence in technology, service, and leadership and best practices. We also relaunched a product innovation effort and preview concept machines that we modify to reflect our customers' reactions to them and then ultimately commercialize. The top strategic priority for this business remains capturing more comprehensive service revenue for every machine that we service and support around the world. In 2024, we generated 27% revenue growth in the ATM as a service full outsourcing product and grew software and services overall at 8%. ATM as a service exited the year with an ARR of more than $20 million. We grew the number of unique customers by 50% in 2024 and finished the year with over 28,000 active devices. We have a robust backlog and a sales pipeline that positions us well for 2025. We continue to see appetite across the broad range of financial institutions to outsource all or a portion of their ATM centric services to a singular provider. As discussed in last quarter's call, customers see the ATM as a service opportunity as a continuum of outsourced services that can migrate piecemeal and over time. And while we have passed on some large unit count ATM full outsourcing deals in lower cost regions, our backlog continues to grow. The quality of that backlog is very high and the significant streamlining of our onboarding organization has sped up implementation. For 2025, we expect the ATM as a service business revenue will grow over 40% and that we will exit 2025 with an ARR of over $300 million. Moving to the Network segment on Slide 8. The network segment is our utility banking business that consists of approximately 80,000 owned and operated ATMs located in blue chip retail locations. This business performed well in the fourth quarter and for the full year with financial results generally above our expectations. The traditional ATM network revenues were up in the mid-single digits for the full year, excluding the decline in our crypto transaction unit, LibertyX. Adjusted EBITDA margin expanded by more than 150 basis points and ARPU grew in each quarter with fourth quarter setting another new high. We generated strong top line performance with high single digit transaction growth in both the U.S. and in international markets, fueled by the addition of new high-quality banking and retail partnerships, new transaction types, and new geographies. Our Allpoint branded network grew transactions double digits for both the fourth quarter and the full year as the value proposition continued to resonate with retail banking customers looking for convenient, safe, and low fee channels to conduct their regular banking activities. Recently, a top 20 retail bank headquarters in the Midwest executed a new surcharge free partnership agreement that will see them direct their customers to our retail locations. We expanded key commercial relationships and invested in technologies that enable us to conduct the broadest possible range of transactions at our machines. We expanded our partnership with Chime during the fourth quarter, and we completed the branding of more than 4,000 Allpoint ATMs in our pharmacy locations now that display the brand of Chime. Many issuers and program managers including key partners such as Capital One, P&C, and Navy Federal Credit Union have upgraded to our more comprehensive Allpoint Plus offering that enables their customers to make cash deposits at our locations. This resulted in almost 200% growth in deposit transactions in 2024. Deposit transactions are profitable for us and typically generate follow on transactions by the consumer. We finished the year with an annualized run rate of nearly $1 billion in deposits. And we continue to see growth in our ReadyCode product with transaction driving programs at additional partners such as Lyft. ReadyCode is appropriate to many accountless, cardless cash distribution needs and we are in discussion with several other significant partners. Turning to Slide 9 to discuss our plans for 2025. A year ago, we laid out three primary goals that were appropriately broad to allow every employee in our company to align their objectives with our company's success. Part of our success in 2024 is attributable to that continuity of thought and alignment. In 2025, we have again communicated new top-level objectives that should allow similar alignment and similar success. The first is to grow efficiently. Accelerating growth while we're still somewhat constrained by our balance sheet will require judicious allocation of growth capital and operating expense. We will emphasize those growth vectors that drive more immediate returns and are accretive to margin rate and to cash generation. We will also deemphasize some products or regions or even customer sets that are less profitable to allow us to reemphasize others. The second is to develop a service first culture. We believe service not product is a key to differentiating factor in the ATM industry and in the cash ecosystem. Service already makes up about half of our revenue base and carries higher margins. As our strategic plan plays out, service revenue opportunities will outpace the overall market growth dynamic. Gaining share of wallet through outsourced services requires a deep customer trust that can only be achieved through sustained customer excellence and leading service performance. A 24/7 always on customer service mindset is essential for our long-term success. And finally, we will embrace simplicity. The complexity that we inherited from our former life as part of the legacy NCR is unnecessary and inefficient. Investment in our people, our systems, and our processes will make us more nimble, make our employees' jobs more rewarding and make us much easier to do business with. Our strategy is simple, and our operations need to be as well. Before I hand over to Andy, I want to thank the 20,000 Atleos 's team members for delivering a great first full year through their diligent work, their dedication to continuous improvement, focus on customer success, and a positive collaborative disposition. Thank you for all you did in 2024, and thank you for accepting the challenge of an even better 2025. The bar does get higher, but the future is bright. With that, Andy, over to you.
Andy Wamser: Thank you, Tim. Reinforcing some of Tim's comments, 2024 was an outstanding year for Atleos as we are well positioned for another strong year in 2025. We are pleased to have delivered 4 consecutive quarters of solid operational and financial results in our first year as a public company. We set ambitious goals as we started the year and delivered results that either met or exceeded expectations each quarter. Moreover, it's encouraging to see the company's strategy being validated and delivering financial results that sequentially improved as we move throughout the year. For full year 2024, total company revenue was $4.3 billion and grew 3% year-over-year on a reported basis with comparable underlying growth of around 3%. Our services and software businesses grew mid-single digits and led to 5% growth in recurring revenues. The mix of recurring revenue increased to 73% and highlights our ability to drive solid growth in predictable service-oriented revenue streams that generate great returns and free cash flow. Overall, the healthy top line trends reflect the effective execution of our strategy, driving incremental revenue from our global installed base. 2024 adjusted EBITDA was $781 million and grew an impressive 7% year-over-year reflecting strong flow through from the top line growth, favorable business mix and net productivity savings. Looking at the reporting segments, self-service banking and lower corporate costs drove most of the EBITDA growth. Adjusted EBITDA margin was 18.1% for 2024 and expanded 60 basis points from the prior year. What is even more impressive is that we increased margin 440 basis points over the course of the year, as we overcame dissynergies from the split, higher labor costs and other external cost headwinds. We were able to deliver the margin improvement with growth in higher margin business lines coupled with productivity initiatives that progressed throughout the year. Moving below the line, interest expense was $309 million and is not comparable to the prior year because our debt was raised in the fourth quarter of 2023 with the legacy NCR split. The full year adjusted effective tax rate was 21%, which was better than expected due to one-time discrete benefits related to the spin. Fully diluted average share count was 74 million. So putting the pieces together, fully diluted adjusted earnings per share was $3.22 which meaningfully exceeded our guidance of $3.12. We generated an impressive $242 million of free cash flow in 2024, which was also well above our guidance of approximately $205 million. Upside of free cash flow was primarily due to the timing of cash taxes, a lower tax rate and effective working capital management. Turning to Slide 12. The key message here is to highlight just how well underlying performance has been for the key fundamentals that we are most focused on. Overall results just don't fully represent how effective our strategy and execution was in the year. Across both of our core businesses, we generated solid revenue in the key services business lines. Extrapolating this progress into the future, Atleos should continue to enhance its growth and profit profile. Ultimately, this will be a key factor in shareholder value creation. Moving to Slide 13 for a review of our fourth quarter results. Total company revenue was $1.1 billion which was up 1% year-over-year or approximately 6% on a core constant currency basis. Our core services and software lines of business grew mid-single digits and led to similar growth in recurring revenues. Adjusted EBITDA was $219 million and grew a notable 23% year-over-year due to top line growth in core businesses, favorable business line mix and net productivity savings. From a segment perspective, self-service banking and network accounted for most of the growth. EBITDA margin was 19.8% and expanded 360 basis points year-over-year. This reflects the strong operating leverage of our growing service businesses, combined with our ability to drive productivity savings for direct and indirect costs. Moving to Slide 14. Fourth quarter diluted adjusted earnings per share was up 73% year-over-year to $1.11 and exceeded expectations driven by better-than-expected profits and an effective tax rate lower than the prior year. Moving to the chart on the right. During the fourth quarter, we generated an impressive $119 million of free cash flow. The fourth quarter is typically when we generate our highest free cash flow of the year, but this year was even better than we had expected due to the combination of strong profits, working capital management and the timing of cash taxes. Moving to Slide 15. Self-service banking had an outstanding fourth quarter with results exceeding our expectations. Starting the upper left, revenue grew 8% year-over-year to $718 million. The primary growth driver was 10% growth for our services and software business lines, partially offset by hardware revenue deferral associated with the shift to bank outsourcing solutions or ATM as a service. The chart on the top right illustrates the progressive increase in adjusted EBITDA over our first four quarters. We reached $181 million in Q4 2024, led by strong growth and high-margin software revenue and productivity initiatives. Adjusted EBITDA margin increased 50 basis points sequentially to over 25% in Q4. This capped off a year in which margins expanded 390 basis points from Q1 to Q4. As we continue to focus on higher margin services and software solutions, while driving continuous improvements through cost and expense initiatives, our adjusted EBITDA margin trends continue to grow materially faster than revenue. Moving to the bottom of the Slide. KPIs remained on a positive trajectory in the fourth quarter. The mix of recurring revenue was 60%, up approximately 200 basis points year-over-year. ARR was up 10% year-over-year, reflecting the continued build in services and software revenue from our existing installed base. Moving to Slide 16. As a reminder, our Bank Outsourcing Solutions business resides within our self-service banking segment, but as a strategic priority for the company, we present key operational metrics separately to help investors better understand and track our progress. Referring to the top left of the slide, revenue grew 24% year-over-year to $52 million in the fourth quarter. We had strong interest and conversion from bank customers in 2024, resulting in a 50% increase in customer count and expansion into 11 new markets. On the right, you can see that in the fourth quarter, we were able to generate strong gross profit, which increased 29% year-over-year to $17.4 million and translated to gross margin of 33%. Importantly, bank outsourcing margins had been accretive to total company margins. Moving to the bottom of the slide, KPIs also continued to move in the right direction in the fourth quarter. On the left, ARR continued its sequential momentum in the fourth quarter and was up 25% year-over-year to over $212 million dollars. On the bottom right, you can see that ARPU of $8,600 for the fourth quarter is a new high and was up 5% over fourth quarter of 2023 ARPU of $8,200. The takeaway here is that the economics of bank outsourcing services continue to ramp up as expected, driving incremental service revenue. Looking at the backlog at the end of the year, the average ARPU was over $10,000, which should help to support continued ARPU growth in 2025. As Tim noted, as the business model evolves, so will relevant KPIs. Based on the business today, we think revenue growth is the most relevant metric and that is how we will frame our forward-looking view. Moving to the Network segment on Slide 17. The Network business turned in another quarter of solid underlying fundamental performance. Filtering out noise from FX headwinds and our Liberty crypto business, core ATM Network revenue grew approximately 4% year-over-year in 2024. Fourth quarter segment revenue was $317 million which was down 2% year-over-year on a reported basis. Revenue growth was led by 6% growth in withdrawal transaction volumes in North America, partially offset by 2% decrease for international. The international decrease is primarily due to cycling against challenging prior year comps associated with last year's Asda U.K. launch. Deposit transactions continued to accelerate in the fourth quarter and grew around 240% year-over-year and 90% sequentially. Additionally, we are seeing increased use cases for our ReadyCode product with volumes up 50% sequentially, but again from a small base. Moving to the upper right, adjusted EBITDA of $114 million was at the high end of our target range and grew 14% year-over-year and 11% sequentially. Adjusted EBITDA margin was exceptionally strong at 36%, illustrating the significant operating leverage of processing more transactions through our owned and operated fleet of ATMs. In addition, margin benefited from a larger than expected accrual adjustment in the quarter. The metrics at the bottom of the slide highlight key elements of our strategy. The chart on the left shows our last 12 months average revenue per unit was up 7% year-over-year in the fourth quarter. On the right, you can see our ATM portfolio finished the quarter at approximately 78,000 units. The slight decrease in unit count is due to pharmacy partners closing low performing stores, which is where we also have lower volume transactions. This has had a negligible impact on our revenue as customers usually visit nearby locations where we have units. As discussed earlier, transaction volumes continue to hit all-time highs despite the modest reduction in our unit base. We expect the number of ATM network units to increase in 2025 through the addition of both new retail partners and geographies. Slide 18 provides a trending product-centric view of results to help investors assess and model the company. A couple of points to highlight on this slide. First, how Atleos is primarily a services-oriented company with a recurring revenue model rather than a hardware company with cyclical sales associated with refresh cycles. Second, our strategy is working. Our services, software and transactional businesses have solid momentum with respect to both revenue and profit. As a reminder, the other Voyix operations represent legacy NCR Voyix exited geographies and commercial agreements between Atleos and NCR Voyix. We expect business results to continue to decline in these non-core operations. On Slide 19, we present a reconciliation of 2024 free cash flow and a snapshot of our financial position at year end. There are a couple of items worth calling attention to. First, the impressive 2024 free cash flow of $242 million included a higher burden of cash interest expense. Due to our recent October refinancing, interest expense should be less of a cash flow headwind in 2025. Second, we made significant progress on our net leverage throughout the year. Our net leverage reduced by a half turn and ended the year at 3.2x from 3.7x at the end of 2023. Given our financial outlook and capital allocation priorities, we believe we will have a similar reduction in net leverage as we close out 2025. Turning to Slide 20 and our 2025 financial outlook. Our businesses began the year with positive momentum and we expect underlying performance for this year will be strong just like 2024. Reported results do face some headwinds, notably FX rate pressure on reported results and cycling through the wind down of Voyix related business in the other segment. Our revenue and EBITDA guidance commentary will be on a constant currency basis. Starting with the full year, we expect core revenues, which exclude the other Voyix related segment, will grow 3% to 6% on a constant currency basis. We currently forecast currency to be a 2% headwind. We expect total company revenue will grow 1% to 3% on a constant currency basis with FX again a 2% headwind. Total company adjusted EBITDA is expected to grow 7% to 10% on a constant currency basis with FX having about a 1% headwind. Note that we've updated our methodology for calculating EBITDA beginning in 2025 to exclude other income and expense. This is consistent with the methodology used by most of our peers and should result in lower non fundamental volatility in EBITDA. As a result, the 2024 adjusted EBITDA base under our new methodology would be $794 million rather than $781 million dollars We expect fully diluted earnings per share will grow 21% to 27% and be in the range of $3.9 to $4.1. We expect free cash flow to be between $260 million to $300 million. Below the line assumptions incorporated into our full year guidance includes approximately $275 million of interest expense, effective tax rate of approximately 24% and fully diluted share count of approximately $76 million. At the segment level, we expect self-service banking will grow revenue mid-single digits on a constant currency basis. Currency is expected to be around a 2% headwind to revenue. We expect adjusted EBITDA will grow 12% to 13% on a constant currency basis. FX is expected to be a 1% headwind to EBITDA growth. Margins should expand year-over-year and be in the mid-20s. For the Network business, we expect revenue growth to be in the low to mid-single digits on a constant currency basis. FX is expected to be a 1% headwind to growth. We expect adjusted EBITDA margin of approximately 29%. The decrease in EBITDA margin is due to higher bulk cash costs resulting from the expiration of hedges that were implemented three to four years ago during a much lower interest rate environment. TNT revenue is expected to be down with EBITDA flat to up slightly. Voyix related revenue is expected to be between $40 million to $45 million with EBITDA of approximately $5 million. Corporate cost should be approximately flat year-over-year. For the first quarter of 2025, we expect core revenues, which exclude Voyix related to be essentially flat on a constant currency basis. Total company reported revenue is expected to be down mid-single digits due to the cycling of the prior year comparison for the other Voyix related segment. As context, Voyix related revenue in Q1 2024 had approximately $60 million and we would expect it to be around $10 million in Q1 2025. Adjusted EBITDA is projected to be $165 million to $175 million which would represent approximately 5% growth year-over-year at the midpoint. Adjusted EPS of $0.5 to $0.6 per share, which would also represent 34% year-over-year growth at the midpoint. We expect free cash flow will be modestly negative in the first quarter due to working capital. For context, we have a robust second quarter order book in hardware and we'll have to invest in inventory during Q1 to fulfill those orders. We expect to generate positive free cash flow in each of the last three quarters of 2025. Below the line assumptions incorporated in our guidance include $65 million of interest expense, effective tax rate in the low 30s and fully diluted share count of approximately $75 million. Lastly, throughout this earnings season, companies with international operations have been asked about the potential impact of tariffs. Based on what has been implemented thus far that impacts our business, which is Mexico, we have limited exposure to tariffs. We have a very small spare parts operation in Mexico and we are in the process of implementing plans, which includes building inventory to reduce that exposure. Beyond that, global geopolitical and trade relations are very complex, and it's nearly impossible to predict the potential permutations of tariffs at this time. We are continuously monitoring developments and assessing our potential risks and solutions. Concluding my comments on Slide 21, Atleos had a highly successful first full year in 2024. We delivered impressive financial performance throughout the year, consistently meeting or exceeding financial targets, generating significant free cash flow and improving our financial profile. We executed well operationally, enhancing our capabilities, competitive position and relationships with customers, which is setting the stage for another strong year in 2025. Importantly, we made great progress on our growth strategy, putting us on a path to realize the tremendous opportunity we see in bank outsourcing for the cash ecosystem. Reflecting on these accomplishments, we are very optimistic about our opportunity to create value for our shareholders in 2025 and beyond. With that, I'll turn it over to the operator.
Operator: Thank you. [Operator Instructions] We'll take our first question from Matt Summerville with D.A. Davidson.
Matt Summerville: Thank you, and welcome, Andy. Two quick questions. First, can you talk about the ARPU in the as a service backlog? I thought last quarter that number was something north of $13,000 on a per unit basis and now I think you referenced a $10,000 sort of number. So can you talk about maybe the quarter-on-quarter shift there? And then off of a base of say $10,000, how that trends out looking over the next few quarters? And then I have a follow-up.
Tim Oliver: Yes. Thanks, Matt. So, I think we said $12,000 or $13,000 was the average ARPU in the backlog. We implemented some of those devices and you can see the step up in the fourth quarter in ARPU for that -- in aggregate for that business. So, we translated some high ARPU units from backlog into production. It was a big quarter, as you know, getting us from about 6,000 machines in a singular quarter. So, moved the needle pretty nicely in the quarter. The mix of backlog currently has some of those high-margin machines still in it and a little bit of mix shift toward India and other places where both the revenue and the profitability is slightly lower. So it's really geographic distribution within the backlog that caused that change. But in any regard, we think across the year that the average ARPU of the units we induct into that number across the year will be accretive to the current $8,600 a device.
Matt Summerville: Perfect. And then as a follow-up, you'd mentioned in your prepared remarks seeing some pretty nice inbound demand on the hardware side. Can you just maybe do a little bit of a geographic walk around the globe, so to speak, in terms of what you're seeing from the demand trend, not only for hardware, but just your as a service offering? Thank you.
Tim Oliver: Yes. So, the as a service offering, in countries where it's already been adopted as the go to way that you generate revenue, we're seeing really nice pickups. India is a great place right now for that business. We're seeing some traction -- some more traction in Western Europe around ATMs as a service, and the U.S. has been great for us, particularly in those clients that have 300 machines or less. You can see we had a lot of smallish wins. This is a few machines at a time. There aren't a lot of big tickets in the U.S. that are likely to go to ATM as a service. So, as far as ATM as a Service goes, I think it's the same markets we've been participating in before. We've talked a lot about another 36 markets in the world that we think we could be successful with ATM as a Service, and you're likely to see us introduce product into at least four or five new countries this year as we start to roll that product out elsewhere. As far as hardware goes, it's everywhere, though for us, Western Europe and the U.S. are the biggest markets for us, particularly when it comes to revenue since those are the more expensive devices. We've got a much-improved recycler product that's now ready for market and it's being adopted very quickly by some of our big U.S. customers, that's incredibly helpful. As you'll know, Matt, we were a little bit late there, but we're back in that game. I think that's going to be very helpful to hardware revenue. And I think there's just an as we've talked about before, the wave associated with the 2019 pull forward of a hardware refresh, you've got a modest refresh wave that's taking place currently. I think that's a global undertaking though for us. It's more Europe and North America. And it's not as pronounced obviously as 2019 is going to play out over several years. But we're those 2019 machines now aging off, and so we'll see some -- we think that this year, next and maybe even 2027 will be pretty good hardware years, where we'll see a little bit of lift to hardware. And of course, it should give us some opportunity to talk to our customers about switching to ATMs as a service as they go. Great.
Matt Summerville: Great. Thank you, Tim.
Operator: We'll move to our next question from George Tong with Goldman Sachs.
George Tong: Hi, thanks. Good morning. Can you remind us how many ATM as a service units you had by the end of the quarter and what your latest expectations are for 2025 and beyond?
Tim Oliver: Yes, I think we're at 28,000 units at the end of the fourth quarter. That was up from about 22,000 at the end of the third quarter. So, a little bit short of the 30,000 we set out to try to get to for the full year, but a really good fourth quarter. And then, of course, we talked about this being a back-end loaded year for us in terms of implementation. That had a lot to do with our readiness and our customers' readiness from an onboarding perspective. As far as guiding going forward on that metric, we're not going to use that as a KPI any longer, units, because as we just talked about, not all units are created equal and units in North America, for instance, are far more accretive to both revenue and profitability than our incremental units in India. So we'll talk about revenue growth in this business rather than units. That said, I think it'll be -- if we've got 6,000 units currently in backlog, I think we'll exit the year 40,000 units -- rounding to 40,000 units. And importantly, I think the ARR in that business will be north -- well north of $300 million from about $210 million today.
George Tong: Yeah. Got it. And then in your network business, the number of managed units went down because of the rationalization of low performing stores. Can you talk about how much longer you expect this rationalization process to go on for?
Tim Oliver: We don't know. We're watching it very carefully. These pharmacies are very good customers of ours. They keep in constant contact with it. You see there's a transaction announced for Walgreens, I think, last or rumors of a Walgreens transaction last night. We're very tied in with these folks. The good news is when they shut down a store, it's probably a machine that wasn't performing particularly well for us anyways. And so if it's underperforming for them, it's probably underperforming for us. We move that machine elsewhere and we pick up just across the street the transaction volumes on devices around the corner. So we don't tend to lose revenue. We just lose a node on the system. I think we'll sign deals in 2025 that add 3,000 or 4,000 units to that count, which will, in essence, get us back to where we were. So over time, this may perturbate a bit, but fundamentally, that 80,000 units, unless we add new geographies and fleets in other parts of the world, is probably we're going to get back around that midpoint over time. But so look for some sizable wins in '25 that allow that number to come back up. I don't know how many more drugstores are going to close, but as long as they're underperforming and I have a machine nearby, I'm not that concerned about it.
George Tong: Got it. Very helpful. Thank you.
Tim Oliver: My pleasure.
Operator: We'll take our next question from Dominick Gabriele with Compass Point.
Dominick Gabriele: Hey, good morning, everybody and welcome Andy. If you just think about the strategy that's focusing -- that you've discussed focusing on North America and Europe for the higher ARPU machines in general versus India, some of the comments that you made just on this call suggesting the backlog might be for ATM as a Service might be mixing towards India a little bit just because of what you've sold. I guess the question is just are you still focused on shifting towards these higher profitable revenue generating units in North America and Europe versus India still?
Tim Oliver: No. So I might have said -- I'm not emphasizing one over the other. They're both good markets for us and scale matters a lot. We have great scale in India, over 120,000 machines in India. So it's a very good market for us. It'll stay a good market. And I want to preserve that installed base and perhaps grow it. There are parts of the world I didn't talk about like Brazil, Argentina, where the move toward ATM as a Service is very strong and networks are starting to emerge. That is also a different price point market. We will compete there. It's just when we talk about the incremental gain in revenue or profitability, when the mix shift more towards North America or Europe, it will be more beneficial for us in that period. But I hope I didn't create the idea that somehow we're going to relegate ourselves only to those larger, more developed markets. There's real opportunity in other parts of the world. In fact, we were just in Latin America, and there's huge opportunity for us down there. So, we're the largest player in Brazil, and of an installed base that is very leverageable. So, we need a strategy there too. That device will be somewhat less expensive, and the service cost will be somewhat lower if you experience, for instance, in North America. So we like them all the same, but some move the needle a little bit more for our reported results than others.
Dominick Gabriele: Right, right. No, thank you. And then there was really nice speed versus our expectations on gross profit margins versus, like I said, our expectations in the quarter. You're effectively absorbing 2% FX headwind on the revenue while still showing pretty good adjusted EBITDA. And so I guess do you expect the variability in the gross profit margin quarter-to-quarter in 2025 to be moving up and down quite significantly from quarter-to-quarter due to some sort of seasonality? Or do you think the fourth quarter's gross profit margin level is the right jumping off point for as we start the year?
Tim Oliver: Yes. So, we said we were going to exit the year with margin rates in aggregate on EBITDA level of about 20% that translates into the gross profit you're describing. We do have a seasonal business, right. Our hardware business grows across the year and is more profitable as we produce more units. We've got very big unit outputs in Q2 and Q4 this year. So, you'll see that business have nice cost leverage as they generate more units. The Network business has very strong Q2 and Q3, a natural curve to their business. And so you'll see their profit would be higher there. So the regular calendarization or regular seasonality of our business will play out again in 2025. I think that will describe any perturbation in the gross margin rate. On the reported profitability, we have more of a headwind associated with the Voyix -- the lack of Voyix revenues in the first half of the year, and FX appears to be more of a hit earlier in the year. And so I think you also see margin rate accumulate across the year. Much like this year, the shape of the curve for EBITDA margin rate and gross profit margin rate next year should be very similar to this year.
Dominick Gabriele: Great. I really appreciate it. Thanks so much.
Tim Oliver: Our pleasure. Really, everybody is saying hello to Andy and I'd let him talk.
Operator: [Operator Instructions] We'll move to our next question from Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: Hi, good morning. Thank you for taking the questions. Hey, Tim, I understand you're not going to focus on like the units in ATM as a service because it's more of a continuum, so it's less relevant. But could you talk about the success you might have had over the year in terms of moving customers up that continuum? So in other words, customers that might be taking some of the outsourcing services where you're starting to get them to take more of the outsourcing services?
Tim Oliver: Yes, that's a helpful question to us. Thanks for asking it. We could find ATMs as a service as the monolithic, holistic outsourcing of everything associated -- with every service associated with an ATM, inclusive of cash in transit that we would obviously have to subcontract for. And others who have jumped into the space and used the term ATM as a service have a much less broad definition of that term. We have about 90,000 machines that we currently call -- we describe as managed services, which is very similar to what others are describing as ATM as a service. Of those 90,000 machines, we saw in last year many of those customers moving up and many devices moving from managed services up into our very tight definition of ATM as a service. And I think that's an obvious step. And so when I think about success in the services business in aggregate in 2025 and beyond, I think it's taking customers who currently are traditional customers who only buy hardware with a break fix service agreement and a software subscription agreement over the 5 to 7 year life of the device and moving them into managed services and asking them what subset of those services they'd like us to take on and we'll grow into the rest over time. I also think there's a huge proportion of those folks in the managed services area that we have now proven ourselves to be very effective and very cost efficient in driving those devices for them that are likely to move up into the full outsourcing of ATM as a service. And so, we're likely to start talking a little bit about our managed service portfolio and maybe talking about the two together. So you can see that migration of the customer up through this continuum. I think we added a chart at one point in one of the conferences, and we can post it again, that describes kind of what's the midpoint of managed services and then importantly, what you add to get to the full ATM as a Service. But yes, we had some success doing that. And this is the more obvious path for our customers to take from traditional to managed services and then on to full outsourced ATM as a service.
Shlomo Rosenbaum: Got it. And I have a couple, I guess, questions for Andy. First, can you just describe what's being stripped out of the EBITDA or what's being added back to the EBITDA for the new calculation? Is it movements from FX? I'm just trying to understand what's changed over there.
Andy Wamser: Sure. So as we look at EBITDA, we are going to be excluding other income and expense going forward. I mean, look at the volatility associated with our -- I'd say, our old methodology. The key one would be pension, and then it would be FX and then to a degree bank fees. But we think by doing this new definition, it's going to remove some volatility that we would have, I would say, in a quarter. And so the order of magnitude could be $5 million to $10 million in aggregate in a given quarter, and we think this will remove some of the volatility associated with our guidance and then results.
Shlomo Rosenbaum: Okay. And then could you comment a little bit about the change in vault cash interest expense and how we should think about that flowing into gross margin?
Andy Wamser: Sure. So for vault cash, we rent directionally about $3 billion in cash. And we would have fairly aggressive or also favorable terms in terms of how we get that cash from select bank partners. When you look at what happened, let's say, 3 or 4 years ago, a lot of we put in place a lot of hedges that were able to lock in rates in a much lower rate environment. So when I look at some of those hedges, they were layered in. And so then what's happening then in 2025 is that we're rolling off as we get to the back half of the year some of those favorable hedges. So that is really the key driver in terms of what's happening to, I'll say, our COGS within network. The thing that I would emphasize though is while there is going to be some pressure year-over-year in that segment, the EBITDA margin is still, I said, would be close to 29%. I mean, it's just around 30%. So it's still a great business, but we are going to be lapping some of the impact of hedges vault cash.
Tim Oliver: Yes. Andy wasn't here when we did the acquisition of Cardtronics, but at the time, we sold a model to our board and committed to a model to our board around profitability that described that as a good acquisition. And it has turned out to be a good acquisition. But we hedged that model by putting in place significant amount of swaps around the $3 billion or $4 billion of vault cash at the time. As those roll off, we're now paying market rates. And so the good news is our margin rates now at market rates are very, very similar to what they were prior to the acquisition, which was in a period of time in which rates were very, very low. Or say it differently, the productivity and the profitability we generated with new business across the network has allowed us to, in essence, absorb all of the hit over the last several years from those interest rates. I'm hopeful that we'll see some relief going at some point. We'll see some relief in interest rates. But what you're seeing now is us performing at market rates with the highest margins in our company and margins that are approaching 30%.
Shlomo Rosenbaum: Great. I've taken a lot. Can I squeeze in one more, if you're okay with that? There was a talk a little while ago in terms of third-party financing for some of the ATMs as a service hardware and stuff like that. Is that still something that's being focused on? Or is it really because we're going to ATMs as a service kind of light that the customers are really just doing stuff on their own that that's not really part of what you guys are working on internally in order to kind of accelerate that business?
Tim Oliver: So, the answer is yes. We still -- that opportunity still exists, just actually both sides of your question. We have seen when Paul and I built this model a long time ago, we thought that ATM as a service would be much more capital intensive than it's been. And we thought at the time that maybe 70% of the transactions we did require new hardware on our balance sheet. It's actually been reciprocal of that. We've had closer to 25% or 30% of the deals required new hardware. And we've shown a preference for those type of transactions. So we have seen far less use of capital. It is also true though that we are still looking for non-recourse off balance sheet financing opportunities for fleets of devices that make some sense. Paul has worked really hard to put some devices in place. We've not had deals big enough yet to get those off the ground, but maybe I'll let Andy elaborate what they might be.
Andy Wamser: Yes. That was a great introduction to that. So what I would say, it's an absolute key focus for us. And as we move into the second quarter, I would expect us to be able to find a solution that will work and that will be financed off balance sheet. But that is that's certainly in our plan and we fully expect to do that.
Shlomo Rosenbaum: Great. Thank you so much.
Tim Oliver: Thank you. Sure.
Operator: We'll move to our next question from Chris Senyek with Wolfe Research.
Chris Senyek: Hi, guys. Thanks for taking my question. I want to ask how we're thinking about capital allocation here. I know you'd mentioned near-term debt pay downs is a priority, but with the stock trading at the level at which it is currently because the broader macro concerns is something, are you guys considering maybe perhaps implementing a buyback plan sooner than otherwise anticipated?
Tim Oliver: Yes. I love announcing earnings in the weak markets. I seem to figure out how to do that every quarter. It hasn't changed. I think the only thing that has changed somewhat in the discussion with our investors is the hurdle rate for overall leverage, at which point we think that equity investors start to clamor a little bit more for cash being returned to them. And to your point in this market through a share repurchase has maybe moved down a little bit. So we've talked a lot about getting down to 3x net leverage. That would translate to about 4x gross leverage, which some of our investors focus more on 4x gross leverage. When you get under 3x and 4x, the analyses say that you should pick up a significant change in your valuation, meaning that those stocks that have -- those companies that have leverage below four times gross are traded almost a full multiple point higher than those that demonstrate above 4x. We think we'll get there at the midpoint of this year. At that point in time, I think we have to have a good debate with our board and maybe with some investors about what we do with the next incremental dollar of free cash flow. I don't think it'll be uniform, meaning until we get there, it's very obvious. We apply every dollar of free cash flow we generate to reduce our debt. Once we get to 3x net and 4x gross, I think we should at least start talking about whether we continue to reduce debt either holistically or if we, in fact, start to deliver some cash back to share of the upside to a certain extent between our equity holders and our debt holders. So nothing has changed in terms of wanting to get down to 3x. Nothing has changed in our calendarization of getting there. I think we'll get there by the midpoint of the year. I think the desire for yet even lower leverage amongst investors has become more apparent, and we'll debate that with our board and you all when we get there at the midpoint of the year. But I agree with you, our stock is too cheap, and we should if we can, we should be buying some back.
Chris Senyek: Yes, thanks. And then one more question kind of longer term strategic. In terms of when you did the kind of did the roadshow and were spun out, you had different long-term objectives for recurring revenue and the argument was that you'd get a higher multiple on the stock as the recurring revenue percentage went up. What's the outlook today and has it changed any just given the preference of customers for where you get to recurring revenue over the next couple of years?
Tim Oliver: Yes. Our recurring revenue performance is tracking pretty close to where we thought. We're a little bit behind. If you go back to those models from 2.5 to 3 years old now, we're a little behind on our ATM as a service revenue, which we've talked a bit about the adoption rate and our ability to onboard folks, which causes the total services growth to be a little bit behind those models. But we have every belief that it's a lag in the model, not a change to the model, and that ultimately our service levels -- the total value of our service to our customers will be a much higher percentage of total revenue that was in the outset. And the transaction volumes are growing as well. And we count our -- as you'll remember, we count our transaction revenues as recurring too. So I think of all the metrics that we've laid out in that five year model, I think there's two that we're most likely to still be perfectly in line with, which is free cash flow and percentage of revenue coming from recurring sources.
Chris Senyek: Okay, great. Thank you, and congrats on a great year.
Tim Oliver: Thanks a bunch.
Operator: For our next question, we'll return to Dominick Gabriele with Compass Point.
Dominick Gabriele: Hey, great. Thanks so much. Actually just right on that point, I was curious about the free cash flow outlook with the kind of more updated long term targets that were given more recently. I know it's not going to be linear as far as year-over-year free cash flow growth. But overall, how are you thinking about the free cash flow targets in particular? And given where you ended up in 2024 with a nice almost like pull forward, right, that you mentioned that gave you $119 million free cash flow in the quarter adjusted. How do we think about -- how that pulls out of 2025 and the sustainability of the ramp in free cash flow to hit kind of your 2027 targets? Thanks so much, guys.
Tim Oliver: Yes. So we only have so many levers in cash flow. And it wasn't so much a pull forward into the fourth quarter. So, we got a break on taxes based on some changes in legislation, and we had some costs that accrued in 2024 that got paid this quarter. So, it wasn't so much a pull forward. There is only so many levers in free cash flow, right? You can manage working capital better. You can have CapEx that underruns depreciation and amortization or you can grow profitability. I know we're going to grow profitability over the next several years and you can extrapolate out the kind of longer-term goals of growing at 8% to 10% EBITDA a year. You can extrapolate that out and presume that most of that should fall down through to free cash flow. We've talked about tax rates and cash tax rates coming down. In fact, that was one of the overdrives this year for us, and it's going to be an overdrive against the model yet again next year. Our interest expense will come down, and it's a huge expense for us. And a lot of our interest expense isn't tax deductible because of how large it is relative to our profitability. Any relief in that tax law or our ability to generate more profitability relative to that interest should make it more deductible and drive yet better cash flows. So I think there's several levers that we can pull across time. But yes, I mean, we talked about a number approaching $300 million of free cash flow when we thought we'd only do $200 million in 2024. Now we're still holding on to the high end of that range of $300 million in 2025, even having overdriven by about $40 million. So, we are doing a better job on free cash flow than we thought that we might. We will use a little bit of cash for working capital in the first part of this year as we have a pretty significant ramp in hardware, about an $80 million ramp in hardware Q1 and Q2. You just have to get stuff on the water to make sure that you get that done. We did collect really, really well in the fourth quarter of last year, and so we've got a little bit of -- there's less to collect in the first quarter, but I fully expect that to happen again in this year's fourth quarter. So, if you're thinking about free cash flow as being the fastest growing metric in this business for the next several years, you'd be exactly right. Free cash flow growth will outpace EPS growth, will outpace EBITDA growth pretty handily over the next several years.
Dominick Gabriele: Thank you very much for taking my follow-up.
Tim Oliver: My pleasure.
Operator: It appears there are no further questions at this time. I'd like to turn the conference back over for any additional or closing remarks.
Tim Oliver: Great. Thank you for that. Thanks for everybody paying attention today. Paul, thank you. Andy, welcome. And look, we just completed a pretty remarkable year. And if my employees are listening, I expect many of them are. Thanks again. You killed it. You did a great job. I know we expect a lot of you going forward. I suspect you'll step right up to that challenge as well. We appreciate those investors who are along and tell all your friends, this is a good story. More people should be hearing it. So, thanks very much and we'll talk to you in ninety days.
Operator: This concludes today's call. [Operator Closing Remarks].